Operator: Good evening, and welcome to the Noah Holdings 4Q '20 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to Ms. Jingbo Wang, Co-Founder and Chief Executive Officer at Noah Holdings. Please go ahead.
Jingbo Wang: Today, for the agenda of the conference call, I will first talk about the macro view then report on Noah's overall performance in 2020 and the development of our major business sectors. Our CFO, Mr. Qing Pan, will then introduce the detailed annual financial results, followed by Q&A session.  Looking back on the past year, the market has been moving forward faster like a high-speed train, the supply side reform of China's financial products has continued and the transfer of household assets to NAV-based products has exceeded market expectations. Among them, the value of the new fund increased by 123% year-over-year to CNY3.2 trillion. The outstanding amount of nonmonetary funds continue to grow, reaching a historical high of CNY10.99 trillion, an increase of 59% year-over-year, with a significant increase in active funds.  With the guidance on standardizing asset management business or financial institutions breaking implicit guarantee, the supply of nonstandardized credit funds continue to decrease, and the insurance -- and the insurance of active product is accelerated. Together with the normalization that house are for living in and not for speculative investment, capital market reform and the return rate of equity funds continued to rise. More and more individual investment behaviors have been replaced by institutional management. It is expected that the securities products in the open market will continue to reach record high in 2021.  It has been six quarters since Noah started the transformation from nonstandardized products to standardized product. In 2020, the transaction value of standardized products, the number of active clients and the performance-based income have all reached historical high, which are good results we have achieved in the transformation. In 2020, Noah recorded total net revenues of CNY3.31 billion, dropping slightly by 2.5% year-on-year. The slight decrease in revenue was mainly due to lower take rate of standardized products, lower revenues from overseas businesses due to the impact from the COVID-19 pandemic. Despite we recorded a GAAP net loss attributable to shareholders of CNY745.2 million, Non-GAAP net income attributable to shareholders for the year was CNY1.13 billion, up 25.3% year-on-year, exceeding our expectations.  The GAAP net loss was due to a one-off equity settlement expense in the amount of CNY1.8 billion related to the Camsing settlement plan. In terms of our core business data. Total transaction value of our wealth management segment was CNY94.7 billion, up 20.6% year-on-year. The transaction value of standardized products reached CNY73.1 billion, up 177.3% year-on-year. Among standardized products, the transaction value of secondary market equity fund was CNY26 billion, up 381.8% year-on-year. The transaction value of mutual funds reached CNY43.3 billion, up 146.7% year-on-year.  For our overseas businesses, net revenue for the year was CNY730 million, down 22.9% year-on-year. AUM was CNY24.9 billion, slightly higher than that of the end of 2019, accounting for 16.3% of the total AUM of the group, an increase of 1.7% year-on-year. We believe that in 2021, with the improving global epidemic situation, travel and work restrictions will gradually be lifted, and the demand of clients will bounce back greatly.  In 2020, Noah's high-net worth client group continued to expand, with annual active clients, including mutual funds of over 39,000, an increase of 11.6% year-on-year. And the number of black card clients increased by 11.6%. For the service model of our black card clients, we have started to pilot the Noah triangle model of professional division and collaborative operations, while providing systematic support for relationship managers, solution experts and operations experts. For our asset management business, the AUM dropped to CNY15.3 billion by the end of 2020, affected by the continuous voluntary redemption of nonstandardized credit products, of which nonstandardized credit products dropped by CNY19.4 billion. Other actively managed products have reached a different degrees of growth, including 6.1% year-on-year growth to CNY9.9 billion in the standardized public securities products and 7.7% year-on-year growth to CNY113 billion in private equity products.  In terms of private -- public securities. By the end of 2020, the annual return of Gopher fund, manager of manager funds, was 17.24%, beating benchmark return of the same period by 10.25%. The Gopher top 30 fund achieved annualized return of 7 -- 13.37%, beating benchmark return of the same period by 4.81%. For private equity, Gopher continued to promote for S Funds and co-investment funds while expanding its direct sales team. It is worth mentioning that the AUM of Gopher Silicon Valley team in the United States increased USD 122 million to USD 317 million in 2020, even with the impact of COVID-19.  In terms of improving operational efficiency. The operating expenses for the full year were CNY2.1 billion, down 17.3% year-on-year. Non-GAAP net margin attributable to shareholders was 34.2%, up 7.6% year-on-year. Operating profit margin increased from 27% in 2019 to 38.1% in 2020.  The management efficiency of the company has been greatly improved. The digital transformation of Noah has achieved great results in the past few quarters, mainly reflected in the improvement of operation efficiency. The 1.0 version of KYC, KYA, KYP digital platform is online to more accurately identify clients, understand products and match relationship managers. We also upgraded the client interface of Fund Smile, built an overseas platform, iNoah and launched the relationship managers' work station. In 2021, we will continue to invest in our technology system for the digitalization and intelligence of our business online operations in the front-end client interfaces, the middle-end relationship managers' working platform and Gopher's investment management platform as well as the back-end management platform to continuously improve our service quality and efficiency and finally, improve our client experience.  And quick correction. For our asset management businesses, the AUM dropped to CNY153 billion by the end of 2020. In 2020, Noah started comprehensive organizational change to promote organizational leadership capability systematically and transform Noah from a traditional green train to a modern version of high-speed EMU, electric multiple unit. It is a long-term and continuous process to free Noah's existence from any unique individual to establish a company that runs on organizational leadership.  We have established 8 committees, launched a rotation scheme for core positions and enabled young people to take on important roles. The 8 committees include: Strategy Committee, Talent Committee, Operation Committee, Science and Technology and Revolution Committee; Product Committee; Ethics Compliance Committee, including Compliance and Discipline Supervision Committee; Client Interest Committee; and ESG Sustainability Committee. Each community -- each committee has its own responsibilities, and together, form a more effective collective, decision-making mechanism.  On organizational talent side, we have launched a 2-wheel driving mechanism of position qualifications and performance management to achieve the marketization of our incentive mechanism by matching personnel and positions, weighing of positions, grading by positions and compensation by grade. Meanwhile, the KPI system runs through and leads to the realization of strategic objectives. The KPI system and our strategic targets are fully aligned. As we say, all sources through 1 point, all benefits from 1 source. Noah has been working for 15 years in the wealth management and fund distribution industry with strong investment advisory capabilities and professional advantages.  We have been revising and piloting our new relationship managers' compensation scheme to upgrade the assessment mechanism to meet the needs of our clients of standardized products. We include the indicators of AUM, client satisfaction and product coverage ratios into performance appraisal. We believe that our market share will continue to improve in the future with a wealth management industry transformation and funds investment consultancy pilot.  In 2020, Noah set up a new business segment alongside wealth management and asset management and named it Noah Digital Intelligence. Mr. Chen Jin, the former General Manager and Co-CEO of ZhongAn Online P&C Insurance, joined Noah Digital Intelligence as CEO. We look forward to building a new intelligent open platform to serve individual financial advisers and becoming a new channel of Noah's wealth management platform and promoting the 2B business development of the segment using technology. In hindsight, Noah has abandoned the nonstandardized private credit products from the third quarter of 2019 and firmly transformed to standardized and net asset value-based products. We proposed the settlement plan for Camsing clients in the second quarter of 2020 and reached settlements with nearly 70% of the clients by the end of the year. By the first quarter of 2021, we have completed the early redemption of most of the nonstandardized private credit products in our AUM.  Throughout 2020, we took on initiatives of organizational change and matching positions with talents on the changes of product and relationship managers, circling around client-centric and survival as the bottom line philosophies. Our management team is very happy to see that Noah has achieved a smooth transformation and good growth in the tough environment in 2020. But at the same time, we are aware that the rainstorm has made the water rise, which is like a duck rising with water in the pond. Of course, it is gratifying that although we have not surpassed the market, we're in the process of change, playing light and keeping up with the pace of the market.  I'm proud that in the past few quarters, Noah's management team has experienced major crisis projects, financial rectification and epidemic risk, and the team has maintained a relatively healthy organizational space, played lightly and gained new growth space. The deep thinking of our core team is aligned, which brings about cognitive change. A new management strategy has gradually been established, and we reached consensus on it.  Looking forward to 2021, we have 4 key objectives. First is client-oriented organizational capacity building, enabled by digitalization; second is organizational change, new momentum generated by post rotation young executives in new posts to forward our business development; third, we hope to incentivize our relationship managers by pilot and implementation of the new compensation scheme; and lastly, the new positioning and new start of Gopher.  On wealth management side, we aim to fully upgrade client interface and improve the client service experience. At the product end, we aim to understand the client needs, establish deeper strategies with the leading GPs and fund managers and provide one-stop comprehensive service for the product suppliers. At the investment end, build investment and research capability, design new products to improve the investment capability around client demand. At the technology end, complete the KYC, KYA, KYP digital online platform and application, construct digitalized organization capacity to improve the efficiency, to understand the client needs more accurately and provide services for clients through digital transformation of all aspects of our operations and management. Digital and intelligent online operations of Noah will get us closer to high-net worth clients and better understand the needs of product suppliers, understand and identify the skill sets of our employees to eventually match the 3.  Wealth management and asset management are promising industries. Noah holds a key position in the market with huge growth potential. We believe that the current China's capital market is very close to that of the United States in the late 1970s when the GDP per capita exceeded USD 10,000. However, financial assets only accounted for roughly 30% of the household investable assets in China. The market value held by institutional investors was just 18.5%. There is still a huge space for industry development.  In such a great year of full opportunities, we will not be optimists. Our focus is to go further. We look forward to a beautiful 2021.
Qing Pan: Thank you, Chair Lady, and thank you, Sonia. Hello, investors and analysts. Good morning. We're very excited to share with you the strong financial results for 2020, delivering successful transformation in our product offering in the midst of strong stock market performance and favorable primary market environment. Despite that, we recorded a net loss of RMB745.2 million under the U.S. GAAP. We have also achieved a full year non-GAAP net income of RMB1.13 billion, up 25% year-over-year.  It's an honor to have ongoing support from our clients, partners and shareholders in the past year. We remain optimistic on the future growth in the wealth and asset management industry and also the group's potential to become a major independent player.  I would also like to mention that the GAAP net loss of RMB745 million for the year was due to one-off equity settlement expense of close to RMB1.8 billion related to the Camsing settlement plan. This expense consists of RMB1.3 billion, representing 67.5% of the clients we have settled with us as of December 31 and also RMB0.5 billion for the rest of the clients who have not yet signed the offer, but we anticipate a settlement will be reached in a certain way in the future at similar cost.  The latter was recorded as a contingent liability from a conservative standpoint after assessing the probability of the occurrence under GAAP. As of December 31, 2020, 100% of the Camsing-related settlement plan expenses have been booked in 2020. Excluding the settlement expense, non-GAAP net income was RMB1.1 billion, up 30% year-over-year.  Now please let me walk you through more detailed financial results of the fourth quarter and full year for 2020. Despite the contraction in overseas insurance due to COVID-19 travel ban and our continued streamlined efforts on the lending business, net revenues for the year were RMB3.3 billion, slightly down year-over-year by 2.5%. But excluding overseas insurance impact, net revenues in 2020 were up 7.2% if we compare apple to apple. Onetime commission revenue in 2020 was RMB804.3 million, down 13.3 year-over-year, again, due to a decrease in overseas insurance distribution. This overseas insurance contributed about RMB154 million net revenue in 2020, comparing with RMB462.2 million in 2019, down by 66.7%. That's a very large drop in overseas insurance revenue. Excluding that part from overseas insurance, onetime commissions were up 40% year-over-year.  Recurring service fees and performance-based income were RMB1.9 billion and RMB387.4 million, up 4.5% and 244.4% year-over-year, respectively. Specifically, private equity and public securities contributed to 55.7% and 39.2% of the performance-based income, respectively, reflecting robust exit activities in the primary market and our product selection capabilities in the secondary market type of product.  Other service fees were RMB194.2 million, down 62.3% year-over-year as we continue to reduce our lending product offering. We're restructuring lending and other businesses into a new consolidated business segment, Noah Digital Intelligence, to offer open platform services to IFAs and to our clients.  As one of the main objectives of 2020 strategy, we have achieved a full recovery in the total transaction value with a total of RMB94.7 billion, up 20.6% year-over-year. The transaction value of standardized products was RMB73.1 billion, up 177.3% year-over-year, offsetting the decrease in offering of credit type products, making a successful transformation. In addition, PE products recorded RMB17.9 billion of distribution, supported by strong primary market and also our strategic relationships with the top GPs in the industry.  After 6 quarters since the transformation of our price offering, we're very happy to see the number of active clients, including mutual fund clients, increased by 11.6% to almost 40,000 in 2020. The number of black card clients stood at 985 as of December 31, 2020, also up 11.6% comparing with the same period in 2019. The number of diamond clients who have over 10 million AUM under management reached 4,551, increased by 2.2% comparing to last year.  Operating profit was RMB1.3 billion in 2020, up 37.5% year-over-year. And operating margin improved from 27% in 2019 to 38% in 2020 as we continue to optimize operating efficiency. Non-GAAP net income attributable to Noah shareholders was RMB1.1 billion, up 25.3% year-over-year, and also beating our previous guidance of RMB900 to RMB1 billion by 12%.  Net loss attributable to Noah shareholders was RMB745.2 million as we incurred a noncash and one-off share-based settlement expense of RMB1.8 billion in relation to the Camsing settlement. As I have previously mentioned, that represented about 67% of the Camsing holders who had accepted the settlement plan, representing approximately, in dollar amounts, 70.7% of the total outstanding Camsing fund balances.  On the balance sheet side, we'll continue to improve liquidity as our cash balance stood at RMB5 billion, and we continued our exit efforts in long-term investments we had, which decreased by 39% since last year. We recognize contingent liability in the amount of RMB530 million from the Camsing settlement plan, as I previously mentioned, for the group had not accepted or signed the settlement agreement. Accordingly, all of the settlement-related items have been expensed as of December 31, 2020.  Our current ratio stood at 3.7 with a debt-to-asset ratio of 22%, which is still very healthy. I'm very confident to say that with a well-capitalized balance sheet, we're well positioned to invest in new R&D efforts and implement new growth initiatives, which will pave the path for a new year of growth for Noah.  When it comes to quarterly numbers, we have also achieved a very good performance. In terms of our fourth quarter financial results, we recorded net revenues of RMB953.2 million, up 20.9% year-over-year and 11% quarter-over-quarter, supported by strong performance-based income amounting RMB206 million, up 260% year-over-year and 193% quarter-over-quarter. Onetime commission was RMB271 million, up 17% year-over-year and 39% quarter-over-quarter, driven by strong domestic insurance product sales.  Recurring income was RMB435.9 million, down 65 -- down 6.5% year-over-year and 22% quarter-over-quarter due to the decrease in the bank and management fees related to the redemption of credit products. Operating income for the quarter was RMB335 million, up 165.7% year-over-year, but down 3.4% quarter-over-quarter as a result of increasing off-line client events and compensation expenses incurred in the quarter. Non-GAAP net income for the quarter was RMB262.5 million, up about 121% year-over-year and down 11% quarter-over-quarter. Net loss attributable to Noah shareholder was RMB1.6 billion. Excluding the one-off Camsing share-based settlement expenses, net income was RMB255.4 million, up 148.5% year-over-year and down by 10% quarter-over-quarter.  For business segments, net revenues from the wealth management business were RMB2.4 billion for the year, up 2%, accounting for about 71.6% of total net revenues. And net revenues from the asset management business amounted to RMB875 million, up 11% year-over-year on strong performance-based income realization, contributing for about 26.5% of the total revenues.  I would like to note that for the guidance side that the non-GAAP net income of RMB1.2 billion to RMB1.3 billion guidance for 2021 reflects management's current business outlook as we're excited to see a strong year of financial and operational performance in the past year and are reasonably optimistic about the growth that we will achieve in 2021.  As mentioned by Chair Lady Wang, we have made a comprehensive plan to resume growth mode and also investment in the future, the growth from the top line to the number of core clients and most importantly, in digitalization and technology. The expansion, obviously, will require heavy inputs in talent, client-oriented marketing events as well as tech infrastructure. And we target to maintain a mild growth in the bottom line, but rather speed up our expansion in market share and also advancement in technology.  Lastly, I would like to emphasize our commitment to ESG and responsible investment. We have started the process in launching ESG-related investment products to serve our sophisticated high net worth clients, and we will update the market accordingly.  Thank you again, everyone. And now we'll open the line for questions.
Operator: [Operator Instructions]. Your first question comes from Emma Xu from Bank of America Securities.
Emma Xu: So maybe I can briefly translate my question. So the first question is about the growth plan. So Noah -- so management mentioned that Noah is now in a growth mode, and you already have -- have planned for the top line growth, client growth, et cetera. So could you provide us the guidance for active client growth in 2021 and for the long term? Because transaction volume can be volatile due to market volatility, the deep client growth and the number of client growth and legitimate of client increases, the increase of revenue and profit is just a matter of time. So could you provide us more details on your growth plans for client number? And how do you plan to achieve the target?  And the second question is about the utilization of cash, which amounted to around RMB5 billion by end of 2020 and accounted for 53% of total assets. You've mentioned previously that you may look to use that cash for some M&A or other potential investments. Could you provide some clues what are the potential area for M&A or investment? And what is the logic behind?
Qing Pan: Okay. So I'm going to translate a little bit of Chair Lady's answer and I also have my own inputs as well. So she just stressed that we have again clarified and cleared our strategy focus to continue to focus on high net worth individuals and also super high, ultra-high net worth individuals. So basically, in addition to the number of clients that we have also actually focused on increasing the quality of services to this type of client.  And also in terms of market share, not only just, again, on the share number of the client groups as well as the wallet share of the existing client groups. One of the things that we have mentioned in the speech is about new service model that we have been implementing for the past year that started the implementation in the last few months. Basically, we have a so-called triangle service model to our clients. As compared to a single point of contact in the past only through the relation manager, now we have basically 3 elements in the service. One is the AR, which is the account representative, will be supported by 1 or 2 -- 1 or more solution representative who's actually has the expertise in the product and services that fit our client's need; as well as the FR, which is basically the service representatives so that our clients actually have a full scope of better client experiences under this new service model.  We have seen the passion from the frontline individuals. We actually also realized through this model that they actually increased the service capacity to our clients, even for the so-called elite relation managers basically will expand their capacity to serve more clients and get more higher client wallet share.  But in addition to that, Emma, as you have asked about what strategy we have. We do actually clearly set a very clear number of increase in the core client groups for 2021. I'm a little bit reluctant to give guidance on that as it depends actually on quite a few different factors. So I don't want to this to be misleading. But I can tell you that it will be a pretty major growth and will be a clear focus in terms of continued growth and increase that type of corporate clients. Like you said, it will greatly improve the adhesiveness of our client relationships. So that's the answer for the first question.  And in terms of the use of cash, Emma. I understand our focus on that. So basically, one of the information that we have disclosed in the 6-K, as you can see that we have used part of the proceeds to repurchase our stock for USD 100 million, where basically, we have completed that repurchase by end of February or March. And in terms of opportunities we've been looking at for the acquisitions, I think we have been very actively looking. And when it comes to actually financial type of institutions, either domestically or oversea, as you would imagine, that we're being very careful in terms of performing due diligence or figuring out what is the right synergy before actually proceed.  So obviously, it's very difficult to promise that we will acquire or buy anything. But I guess one of the things I'm confident to say that it remains in the arsenal of the strategy that we are looking at to expand certain capabilities or service or technology or asset management, it also remains one of the targets that we are continuous to look at.  Emma, does that answer your question?
Operator: Your next question comes from Han Pu from CICC.
Han Pu: We see our number of the relationship managers was stable quarter-on-quarter while slightly decrease year-on-year. And could you please give us more color on the future growth plans of our relationship managers and also more introduction on the structures under our triangle service model?
Qing Pan: So that's a very good question, very insightful actually. In terms of the 1,200 RM that we have currently. We believe that actually the new triangle mode will continue to be able to help us grow the talent pool of the RM. As you would imagine, that the service mode has been sort of switched from a single-man army into actually a more coordinated group of individuals that will be able to serve our clients. So basically, the more experienced elite RM will be assisted with probably solution experts as well as the fulfillment representative, basically the service type of RM. And this particular mechanism actually will enable the younger professionals to actually come into the industry and have the opportunity to learn beside a lead time, which we actually have a very low turnover ratio, to actually be able to provide more a full comprehensive service to our clients. So we believe that the number of RM actually will continue to see an accelerated growth in terms of relation managers when we are implementing this triangle mode, especially that in terms of cities, that will be more or less into a more coordinated operational unit rather than a single point of contact through the RM to serve the client in the past.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Pan for closing remarks.
Qing Pan: Okay. And thank you, investors and analysts, for your time. I'm very happy, excited to share the strong performance for the full year with you. And obviously, if you have more detailed questions, we have arranged one-on-one sessions later on. So we'll talk to you later. Thank you very much.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.